Operator: Welcome to Acorda Therapeutics First Quarter 2023 Financial and Business Update. [Operator Instructions]. Please be advised that this call is being recorded at the company's request. I will now introduce your host for today's call, Tierney Saccavino at Acorda. Tierney, please go ahead.
Tierney Saccavino: Thank you, Terry, and good afternoon, everyone. Before we begin, let me remind everyone that our presentation will contain forward-looking statements. Detailed disclosures can be found in our SEC filings, which are public, and we encourage you to refer to those filings. Today, during Q&A, we will take questions that some investors have written in when they registered for the call.  I'll now pass the call over to our CEO, Ron Cohen. Ron?
Ron Cohen: Thanks, Tierney. Welcome, everyone. We will start with INBRIJA. INBRIJA U.S. net revenue for the first quarter of 2023 was $5.6 million. That's a 52% increase over the first quarter 2022. PRFs, or new prescription request forms, increased 45% versus the same quarter last year. We are pleased to see the substantial quarter-over-quarter increases, that indicate that we are building INBRIJA back after the impact of COVID in 2022.  Now this slide shows the pattern of net sales each quarter since launch. Each year, you'll see that sales dipped in the first quarter, as a result of insurance deductibles resetting and also because of Q4 buy-ins by the specialty pharmacies, and then sales increased steadily during the year. And we've seen that pattern throughout the launch.  Now note that in Q1 2023, we had the highest first quarter sales of any Q1 since launch. This rebounded substantially from the marked decline in Q1 2022, when we believe that was related to the Omicron COVID surge at the time. We are reiterating our guidance for U.S. net sales of INBRIJA of $38 million to $42 million for 2023.  Now we saw a similar pattern in this slide, you see, in total prescriptions or TRx, which showed an 11% increase over the first quarter of 2022 and a far smaller drop from Q4 than we saw in Q1 2022 versus Q4 of 2021. Now importantly, new prescription requests increased by 45%, as I mentioned, in the first quarter of 2023 versus Q1 2022, and we expect to see the impact of that over the coming months.  Here, you see cartons dispensed to patients, which is the most accurate measure of true demand. That also followed a similar pattern with dispenses up 12% over the first quarter of 2022. And again, this was the highest number in the first quarter since launch. We're very pleased to report that we launched a branded commercial for INBRIJA on March 30. The commercial is airing on approximately 50 streaming services, including Hulu, Disney Channel, Paramount Plus, and it's directed specifically to households that have self-identified as being impacted by Parkinson's disease and to health care professionals who treat Parkinson's disease.  We've also launched what we call a digital surround sound campaign of INBRIJA branded Internet and social media content that coincides with the commercial. Viewers can opt in to obtain more information or speak directly with the nurse educator.  In just the first 6 weeks of streaming, the commercial has been viewed over 2.5 million times, including views by 40% of our target health care professional audience. That's in just the first 6 weeks, and it's also already driving substantial traffic to the website. Now if you would like to see the commercial, you can watch it at www.getinbrija.com. The regular full INBRIJA site is inbrija.com. Commercial, again, getinbrija.com, G-E-T inbrija.com.  As we announced earlier this week, we've entered into an agreement with Hangzhou Chance Pharmaceuticals to commercialize INBRIJA in China. Under the terms of the agreement, Acorda is receiving an upfront payment of $2.5 million, a near-term milestone payment of up to $6 million; $3 million upon regulatory approval of INBRIJA in China and additional sales milestones of up to $132.5 million. We'll also receive a fixed fee for each carton of INBRIJA that's supplied to Chance. And by 2030, it's estimated that China will have approximately 5 million people with Parkinson's disease, the largest single population in the world.  Chance Pharmaceuticals is a Chinese company that's focused on developing and commercializing novel inhalation therapies. It's worth noting that its founder and CEO, Dr. Donghao Chen, did his post-doctoral work in the laboratory of Dr. Bob Langer at MIT, which invented the ARCUS inhalation technology that's used to make INBRIJA. He also worked at Advanced Inhalation Research, or AIR, and also Alkermes, where he was the CMC lead for an inhaled insulin therapy that was also based on the ARCUS platform. So this is a company that is very knowledgeable about the technology, very excited about it, very passionate about it. And Chance plans to seek marketing authorization in China as quickly as possible.  So moving to AMPYRA. AMPYRA U.S. net revenue for the first quarter was $12.6 million, that's a 15% decline over Q1 2022. And this shows AMPYRA's sales performance from the beginning of generic competition in the fourth quarter of 2018. And you can see the slope of the decline is continuing to flatten through 2022.  We are reiterating our guidance for 2023 net sales of between $65 million and $70 million, and we project that sales will stabilize at approximately $60-plus million over the next several years. We're continuing to execute on our strategy to maintain the AMPYRA brand. Our field sales team is continuing to call on MS specialists to ensure that they're aware of the various support programs that we're continuing to provide for the brand.  Also, we're continuing to hear from both the health care professionals or health care providers and patients who value the support that we've always provided and are continuing to provide for branded AMPYRA. Access also remains high for AMPYRA. About 70% of covered lives can get access to it through insurance.  And now I'll turn the call over to our CFO, Mike Gesser, who'll review the financials. Mike?
Michael Gesser: Thank you, Ron. As Ron stated, global INBRIJA revenue is up significantly over Q1 2022. Adjusted OpEx, which is R&D and SG&A, is down approximately $4.7 million from Q1 2022 and shows Acorda's continuing efforts to align spending with revenue. Cash balances are down from Q1 '22, in alignment with our expectations. In addition to our U.S. revenue, we reported $526,000 in INBRIJA ex-U.S. sales; $2.9 million in FAMPYRA royalties; and $587,000 in Neurelis royalties.  For 2023, as Ron mentioned, we are reiterating our financial guidance on INBRIJA with U.S. net revenues between $38 million and $42 million and AMPYRA U.S. net revenue between $65 million and $70 million. We expect adjusted operating expenses of between $93 million and $103 million. We expect ending cash balance of between $43 million and $47 million, and we plan on achieving a net neutral cash flow or cash flow positive for the year.  And now I'll turn the call back over to Ron.
Ron Cohen: Thanks, Mike. Moving to an update on the Board of Directors. Jeff Randall, who has served on our Board since 2006 and is currently Chair of the Audit Committee, will be stepping down from the Board in June at our Annual Shareholder Meeting. We are deeply grateful to Jeff for his superb contributions to Acorda. He has been terrific. And we wish him the very best in the future.  We're also very pleased that Tom Burns, who is CFO of XOMA Corporation, will stand for election to Acorda's Board in June. Tom has 25 years of finance and accounting experience in biotech and high tech, and we're delighted that he has accepted our invitation to serve on the Board.  So in closing, these are the 4 pillars on which we're building shareholder value. First, continuing to accelerate INBRIJA's trajectory in the U.S.; taking advantage of the new post-COVID environment, with the commercial programs that I discussed earlier. We're very pleased with the large early response to our streaming commercial and the other programs that I mentioned.  We're also looking to close ex-U.S. partnerships for additional territories as our existing deals continue to roll out commercial launches in the EU and Latin America and now, China, as I described earlier. Second, we're continuing to call on MS health care providers to continue to educate them about the various programs we provide to support AMPYRA on behalf of MS patients and thereby maintaining as much as possible, the AMPYRA franchise.  We're also reducing operating expenses, as you heard from Mike. We are reducing them further in 2023 over 2022 by between $9 million and $19 million, and we're aiming to be cash flow neutral to positive in 2023. And we're continuing to evaluate collaborations for creating important new inhaled therapies with our ARCUS technology.  I'll now open the call for your questions.
Operator: [Operator Instructions]. We will now pass back to Tierney for any pre-submitted investor questions.
Tierney Saccavino: We do have a few questions that have been written in. Here's the first one. I'm a shareholder. And with all the great news about INBRIJA partnerships and the ability of the company to pay debt interest with cash, how is it that the share price is still so low even with a small outstanding share count?
Ron Cohen: Okay. Well, it's very difficult, if not impossible, to comment on why a stock price is where it is, except in broad general terms. Obviously, it's a big complex market with lots of factors. However, having said that, we are in what I would say is an unusual position historically in our industry. We are bringing in over $100 million in revenue, and yet the valuation does not remotely reflect that. We believe that the overriding factor -- and again, this is a personal view, that the overriding factor is the convertible debt that is on our books and that is coming due in December of 2024. That needs to be addressed. And that serves as a weight or an overhang on everything else that we're doing, a lot of which has been very positive, as you've heard.  We are -- we've said before, and I'll just reiterate, we are in regular touch with our bondholders. We are looking at and seriously considering various strategies for addressing that issue. I'm not at liberty, good to go into any of them in detail here, but that is top of mind, and we are working on that very closely.
Tierney Saccavino: Thank you. The next question is, it appears that a shareholder or shareholders are selling or shorting the stock every time Acorda goes close to or above $1 in order to keep the price suppressed and what's your plans to address this?
Ron Cohen: Well, that's -- in a way, it's similar to the last question. There's very little to nothing that a company can do directly to stop someone from selling. It's a free market. People are free to buy and sell every day, if they want. What we can do and what is in our hands is continuing to generate positive progress and positive news on the company. As you saw what happened this week when we announced the Chance deal. We've had several very positive developments over the -- I would say, the last 9 to 12 months, if you've been following us during that time. And at some point, you generate enough positive momentum that it overwhelms the people who are selling or they just run out of ability to sell, and they leave room for the people who want to buy the stock.  The same goes for short sellers, right? If you have people who were selling short, that is their right to do. But at some point, if we're generating enough good progress, that becomes a liability for them, right? Because if the stock price is moving up, they have to cover the shorts, and then it becomes a bit of an advantage for the company and its shareholders.  So I guess my summary there is it is a free market. We're doing what I think we need to do, which is to keep making progress, growing INBRIJA, maintaining AMPYRA, getting more ex-U.S. partnerships on INBRIJA, generating more current and future revenue that way and keeping with our fiscal discipline. So we'll see how long people can sell at a dollar.
Tierney Saccavino: Okay. Thank you. The next question is, you already addressed this a little bit, but it says, can you comment on any progress on the 2024 notes refinancing? Might just want to reiterate that?
Ron Cohen: I'm sorry, can you repeat that?
Tierney Saccavino: Sure. Can you comment on any progress on the 2024 notes refinancing?
Ron Cohen: Okay. So you mean the 2024 notes, I think, they meant. I think I just addressed that.
Tierney Saccavino: Yes, correct.
Ron Cohen: So those are the notes that are -- they're currently due at the end of 2024. And we are actively exploring ways of addressing that, and we are in regular touch with our bondholders.
Tierney Saccavino: Great. Thank you. And here's the last question that were written in so far. Can you comment on the impact of the inflation reduction or the Inflation Reduction Act on Acorda? Do you anticipate any -- do you anticipate the removal of the doughnut hole that would benefit INBRIJA sales?
Ron Cohen: So the IRA has a fair amount of complexity, so I can't go into all of it here. Obviously, the Medicare negotiation is one of those. But as those of you who follow it know, initially, it's going to be limited to 10 of the higher-selling drugs and then 25 and then more each year over time. We don't see that -- we don't currently anticipate that there will be a direct impact of that on us.  With regard to elimination of the doughnut hole, that is potentially advantageous, not to mention the fact that the total out-of-pocket for the year for patients, copays and so on, is ultimately going to be limited to no more than $2,000 a year, which is again, much better for patients than the current system. And obviously, it makes it easier for them to get access to drugs through Medicare.  Now while the doughnut hole will be eliminated, currently, biopharmaceutical companies are responsible for 70% of the expense of the drug in the doughnut hole. In the new design, it has shifted. That goes away, the doughnut hole goes away, and we'll take on 10% of the expense in the initial coverage phase. And then for those patients who get to the so-called catastrophic coverage phase, it becomes 20%. And that's industry wide. That's for all biopharmaceutical drugs. Net-net, we believe it's going to be a positive in our case, but that's something that we're continuing to analyze as we go forward.
Tierney Saccavino: Thank you. There are no more new questions, so we can wrap it up.
Ron Cohen: All right. Thanks very much for joining us, everyone. We were very pleased with the quarter, and we look forward to updating you next quarter.
Operator: This concludes the Acorda Therapeutics First Quarter 2023 Financial and Business Update. Thank you all for your participation.